Operator: Good morning. Thank you for joining us today to discuss Consolidated Water Company’s First Quarter 2021 Results. Hosting the call today is the Chief Executive Officer of Consolidated Water Company, Rick McTaggart, and the Company’s Chief Financial Officer, David Sasnett. Following their remarks, we’ll open the call to your questions. [Operator Instructions] Before we conclude today’s call, I’ll provide some important cautions regarding the forward-looking statements made by management during the call. I’d like to remind everyone that today’s call is being recorded and will be made available for telecom replay via instructions in yesterday’s press release, which is available in the Investor Relations section of the Company’s website. Now, I’d like to turn the call over to Consolidated Water Company’s CEO, Rick McTaggart. Sir, please go ahead.
Rick McTaggart: Thank you, Kate, and good morning, everybody. I hope everyone is well. Our first quarter 2021 results reflect the Company’s continued focus on expanding our services segment to mitigate the negative effects of the pandemic on some of our other business segments. Our services revenue increased 14% to $3.5 million, which accounted for 21% of our consolidated revenues, compared to 15% of our consolidated revenues in the first quarter of 2020. PERC Water produced this growth in our services segment and generated about 70% of its revenue through operations contracts with government entities in California this past quarter. PERC operates and maintains water treatment and reuse facilities under contracted engagements that range from one to five years, with varying renewal options. The majority of these contracts have renewal dates beyond 2021. Our retail business segment continued to be adversely affected by the pandemic, due to continuing travel restrictions to the Cayman Islands. The Cayman Islands government recently relaxed quarantine and pre-arrival COVID testing requirements for fully vaccinated people arriving to the islands. And we hope that a gradual reopening to tourism will continue in the coming months. As discussed on previous calls, our manufacturing segment revenue declined due to a delay of orders from our former largest customer, and we expect this delay to continue into 2022. Although, we continue to build a good manufacturing revenue backlog from new projects and new customers, which we expect to offset some lost revenue from this order delay, most of these new project revenues are expected to impact our results later in the year and into 2022. Before I go further into the Company’s operations, I’d like to turn the call over to David, who will take us through the financial details for the first quarter of this year.
David Sasnett: Thanks, Rick, and good morning, everyone. Our total revenue for the first quarter of 2021 decreased 17.5% to $17.1 million. This decrease reflects decreases of $1.5 million in our retail segment revenue, $194,000 in the bulk segment, and $2.3 million in our manufacturing segment revenue. The decrease in revenue for these segments was partially offset by an increase of about $426,000 in our services segment revenue. The increase in services revenue was due to operating and maintenance contracts attributable to new contracts, which served to more than offset a decline in our plant construction revenue. Our retail revenue declined 20% -- excuse me, our retail revenue declined as a result of a 20% decrease in the volume of water we sold on Grand Cayman Island. And as you probably are well aware now, this volume decrease was due to the temporary cessation of tourism on Grand Cayman, as all Cayman Islands airports and seaports were closed back in March of 2020, in response to the COVID-19 pandemic. The decrease in our bulk segment revenue was attributable to a decrease in Consolidated Water Bahamas revenue of approximately $166,000, which was due to lower energy prices for the first quarter of this year, as compared to the first quarter of last year. These lower energy prices, correspondingly decreased the energy pass-through component, the CW-Bahamas’ rates. As Rick mentioned earlier, the decrease in the manufacturing segment revenue was due to the loss of orders from Aerex’s former largest customer. And as we’ve stated, we hope that this customer will recommence ordering from us early in 2022, although there are no assurances that that will happen. Gross profit for the first quarter of 2021 was $6.1 million or 35.8% of revenue, as compared to $8.4 million or 40.7% of revenue in the first quarter of 2020. This decline in gross profit was largely attributable to decreased revenue generated by our retail water operations and to a lesser extent, decreased revenue for the bulk and manufacturing segments. Although revenue for our bulk segment decreased, our bulk segment gross profit actually increased 12% to $2.1 million as our repairs and maintenance and other operating costs for this quarter -- first quarter this year was less than the same quarter of last year. For the first quarter of 2021, net income attributable to our shareholders was $989,000 or $0.06 per fully diluted share as compared to $2.9 million or $0.19 per fully diluted share for the first quarter of 2020. Now, with respect to our balance sheet and financial condition, our accounts receivable balances related to our Bahamas business continued to increase and amounted to $19.5 million as of March 31, 2021, as compared to $16.8 million as of the end of the 2020. As of April 30th, our Bahamas business accounts receivable reached an all-time high of approximately $21.7 million. We believe the growth in these receivable balances results the severe adverse impact the COVID-19 pandemic has had on the revenue sources for the Bahamas and its government. Although our Bahamian receivables are quite substantial, this is not the first time they have exceeded the $20 million mark in total. And these receivables have always been paid eventually. It’s important to note that the Bahamian government has never defaulted on any of our invoices. Based upon this collection history and our discussions with Bahamian government officials, we continue to believe that these accounts receivables are fully collectible. As of March 31, 2021, our cash and cash equivalents totaled $42.8 million, and our working capital was approximately $67.4 million. And we believe we have more than sufficient cash and liquidity to continue normal operations while still pursuing our strategic initiatives. And with that, I’d like to turn the call back over to Rick.
Rick McTaggart: Thank you, David. So, let’s talk about the Cayman Islands briefly. During the first quarter, our retail water segment was most affected by the pandemic. This segment generates revenue from producing and supplying desalinated drinking water to residential, commercial and governmental customers in the Cayman Islands under an exclusive utility license covering two of the three most populated areas on Grand Cayman. Our retail service area includes the main tourist corridor in Grand Cayman, which as David mentioned, has been closed to tourists since mid-March of last year. This closure has significantly reduced our water sales volumes to resort properties, restaurants and other commercial customers in Grand Cayman. Currently, only residents and work permit holders may enter the Cayman Islands. And significant travel restrictions including a mandatory quarantine period is still in place. The government previously discussed plans to possibly reopen the islands to tourism, once 80% of the local population has been fully vaccinated. However, it is unclear when or if this goal can be met in the near-term. News articles late last week suggested that so far, about 52% of the local population have received the two vaccination shots. However, we’re very encouraged to see in recent news article that American Airlines, a major Caribbean regional carrier, expects that the Caribbean tourism market will be booming by the end of this year, and has actually scheduled more flights to the region this summer than it did in 2019, which was a banner year for travel in the Caribbean pre-pandemic. This potential travel boom could be very positive news for our businesses in the Bahamas, the Cayman Islands and the British Virgin Islands. As more vaccines are administered locally and COVID-19 cases outside of the Cayman Islands continue to decline, we expect to see travel restrictions further ease. In the meantime, we would expect that our retail segment revenues and cash flows will continue to be adversely affected until tourism returns to normal levels in the Cayman Islands. Now, a few words about Aerex, our custom and specialty manufacturer of water treatment-related systems and products, and Aerex comprises our manufacturing segment. As we discussed in our previous calls and again this morning, Aerex’s former largest customer informed us late last October that it has suspended purchases of certain products until the first quarter of 2022 due to inventory management-related factors. While we can’t make any guarantees, we do anticipate that this customer may resume purchasing these products in early 2022. Since early last year, we have focused on diversifying Aerex’s revenues by increasing sales of other products at manufacturers to existing and new customers. We believe this diversification initiative will prove beneficial well beyond this year. Sales opportunities for Aerex in the municipal water market and in specialty water treatment products, remains robust, and we expect to continue to build revenue backlog in these sectors for the remainder of the year. While the pandemic has not directly affected Aerex’s business, we are starting to see price increases and in some cases shortages in some materials Aerex uses to manufacture its products. If this situation continues, we could see some margin pressure and possibly delays in completing certain customer orders. Our services segment, which is comprised principally of PERC Water, performed well and PERC’s revenues increased 14% to $3.4 million compared to the first quarter last year. We continue to be excited and encouraged about the possibilities for PERC, which has been the best performing area of our business throughout the pandemic. Bidding activity for potential design build projects and operating contracts is at the busiest level we have seen since we acquired our majority ownership interest in PERC in late 2019. Potential clients in California and Arizona are seeking cost-effective solutions to their wastewater treatment and potable water challenges caused by unprecedented drought in the region. And Arizona has also experienced population growth caused by pandemic movements, which is creating new water infrastructure opportunities in that state. The pandemic has adversely affected the finances of many communities across PERC’s market area, and these communities are more frequently looking for innovative public-private partnership arrangements to address their water issues. PERC’s excellent reputation and strong track record of successfully delivering projects through a wide range of project delivery models, including public-private partnerships is very attractive to resource-conscious municipalities and private operators. Over the remainder of the year, we expect to use our strong balance sheet to expand our business through organic growth, acquisitions and new projects, whereby further broadening our water solution offerings and market area. We will continue to diversify Aerex’s customer base and focus our resources on obtaining new projects and operating contracts through PERC Water. In the meantime, we are hopeful that our retail water business will bounce back later in the year as tourists again begin to travel to the Cayman Islands. Above all, we will continue to focus on businesses that will provide increasing value for our shareholders. And I’m confident that we will emerge from the pandemic stronger and better than ever. Now with that, I’d like to open the call up for questions.
Operator: [Operator Instructions] The first question is from Gerry Sweeney of Roth Capital. Please go ahead.
Gerry Sweeney: Good morning, David and Rick. Thanks for taking my call. Just curious, maybe if you could touch upon acquisitions or potential projects that you’re looking at pursuing. I just want to get a little bit more detail as to what you’re looking at or even if there are some opportunities already sort of in the pipeline, not necessarily exact timing or anything like that, but just where some of them may stand and maybe the depth and breadth of that, if you could?
Rick McTaggart: Yes. So, we’re seeing sort of a mix of opportunities there, Gerry. I mean, there’s a couple of things we’re looking at on the acquisition front that would potentially grow PERC’s footprint. There’s a number of states in the Western U.S. that have benefited sort of population growth-wise from the pandemic. And we’re looking at areas that in wastewater and water treatment markets that allow us to capitalize on these growing areas out west. There’s other projects that are related to our more traditional desalination business, a potential acquisition that we’re looking at. And then, from Aerex’s standpoint, we’ve been transitioning to more municipal business with Aerex to replace these products that we lost orders for last year. And that’s -- there’s a number of municipal projects that we’re pursuing to manufacture equipment in the southeast area of the U.S.
Gerry Sweeney: Got it. And then, just following -- on the retail side, obviously, I mean, revenue is down about $1.6 million or so year-over-year. But, profitability remained relatively strong. I think you had gross profit of $3 million, 52% -- 53% gross margins. Can you remind me, if activity does come back, how much more does profit can you -- how much more can profit increase on that segment? I know there’s a lot of fixed overhead, et cetera. I just want to make sure, model correctly from that perspective.
David Sasnett: Gerry, I think I would go back and look at the results we were posting pre-pandemic.
Rick McTaggart: Yes. First quarter…
David Sasnett: That’s your best estimate right there.
Gerry Sweeney: Okay. I mean, I did do that. I mean, last year was seven three [ph] and $3 million -- I take that back. Wrong line item. I got you. That’s helpful. I apologize. Got you. Okay. That’s -- or you know what? Actually one more question on the Bahamas side. Obviously, you put a spotlight on it. You’re not hiding it or anything like that. But just curious if you’ve had any conversations with the Bahamian government? What their take on things or they’re giving you any type of indication of how they’re going to manage it or timing, et cetera, on that table?
David Sasnett: We have conversations with them, I think, practically every couple of weeks. They’re strapped for cash right now it would appear. I mean, we don’t know the inner workings of Bahamian government. But, what’s happened in the past is, when these receivables have grown very large, over the summer months, they paid it down, June, July, August, September, something like that. So, we’re hopeful for occurrence of that pattern this year.
Rick McTaggart: Their new budget -- their new fiscal year budget starts on July 1st, I believe, so.
David Sasnett: What they typically do is budget monies to pay us. So, we would expect a recurrence of that, if history is any indication. And really, as tourism starts to ease up, they’ll have increased revenue sources and more money to pay all their bills.
Gerry Sweeney: I was also curious about the tourism there. Historically, have they paid you relatively early in the summer months, meaning early July type of thing? Do you actually see it moving pretty quickly or...
David Sasnett: I think, the payments were coming in -- in the past, they came in more in late July or early August.
Gerry Sweeney: Okay. So, we’ll potentially see it by...
David Sasnett: We would hope to see a rapid improvement in the balance of these receivables by the end of the third quarter this year. That’s the indication.
Operator: The next question is from [Paul Samson of Bayberry Capital Management]. Please go ahead.
Unidentified Analyst: Hey gentlemen. Good morning. Thank you for taking the time. Quick question. Can you go into a little more depth in regards to your strategic initiatives in the United States as you guys look to expand your product lines across three largest revenue generators in coastal areas of the U.S.?
Rick McTaggart: Well, I think that the main focus right now, as we mentioned in the call, is on PERC. We acquired an interest in that business about 1.5-year ago. And the southwest areas of the United States are really the areas that require the types of services and products that we offer. I mean, I don’t know if you follow the status of the drought in California, I mean, they’re forecasting it to get worse. So, PERC operates a couple of highly advanced water treatment plants in the region that take wastewater and actually convert it back to drinking water. So, they have contract operating agreements for these plants. And there’s very few companies in that region that have those sorts of credentials. So, we would expect to continue to leverage the PERC subsidiary. There’s still a lot of work to do out there. The East Coast, I mean, we have our manufacturing business here. There’s not really any opportunities for desalination, except maybe in the Florida Keys. But anything that comes up there, we’re following it closely.
Unidentified Analyst: The last question -- sorry, continue.
David Sasnett: I was going to say that, I mean, we’re looking for things that complement our basic business model of being a water solutions provider. For years, we talked about the fact that even though we had desal operations, we thought wastewater and water treatment would be a good complement to our business and eventually we purchased PERC. And we also bought Aerex, which was not necessarily desalinization company, but we felt like the products they manufactured would give us avenue into other areas of business for our existing core operations. So, we would be willing to look at acquisitions of complementary businesses that perhaps don’t fall right into one of the four business segments we have at the moment. We have looked at those types of acquisitions in the past. We’re very picky about what we purchase. We are not interested in buying companies that are -- the turnaround efforts on our part. We’d like to buy existing companies that, for whatever reason, the owners would like to have our capital or perhaps an exit strategy. So, that’s pretty much what we’d like to -- we’d like to consummate acquisitions, like consummated with PERC and Aerex, where we have motivated prior owners where we can come in and take control and then provide them the initiative and assistance and capital to grow the business, so that there’s an initial payout for them and then down the road they do well with us, they get a larger check and they sell the remainder of their business, so.
Unidentified Analyst: Understood. So, would you gentlemen agree that likely the largest tailwind for Consolidated going forward will be the growth and larger exposure to opportunities coming from, I would say, largely an untapped region now becoming more and more covered by PERC, which i.e., the U.S.?
David Sasnett: Yes.
Rick McTaggart: Yes, I’d agree with that.
Operator: The next question is from Philippe Auclaire of P.J.Auclaire & Associates. Please go ahead.
Philippe Auclaire: Hi. Good morning. I’ve been a shareholder for quite some time, patient shareholder. And I want to commend you on efforts to diversify and expand your operations. It’s a good thing, I think. And I always looked at water as being a scarce commodity and getting scarcer all the time. But, I received a copy of your 2020 annual report that was set out in the mail and raised a couple of questions. I noticed on page 3 where it shows the corporate structure, that there are two retail segments, the Cayman Water Company servicing the islands; and Aquilex servicing U.S. retail segment. And then, I flip over to page 26. And it talks about the fact that in 2020, you had 27 plants in the United States versus 11 plants in the islands. And the capacity in the United States was about twice that of what’s available in the islands. So, then I go to page 72, and it shows that in 2020, 50% of the revenue for the Company came from the U.S. operations. And there’s one question here and then I got another one at the end. But, question here is what percentage of that 50% is attributed to Aquilex?
Rick McTaggart: Okay. So, let me address each of these questions for you. First of all, it’s a bit -- it’s a little bit misleading if you’re looking at the organizational chart. We group all of our companies into different segments. Aquilex is an office that we set up years ago in response to Hurricane Ivan. When Hurricane Ivan, which was a Category 5 storm, hit Grand Cayman, I believe, in late 2004, it completely devastated the island and it made a very hard for us to deliver water there. So, in response to that, we established an office initially in Cross Springs, Florida. Initially, it was in Del Ray, now it’s in Cross Springs as an administrative office to support our other operations. So, Aquilex doesn’t generate revenues. It’s where we house our executive management where we have our basic accounting functions, engineering and information technology. So, it’s not a revenue producer. Is that clear? But, we included...
Philippe Auclaire: In a way it is. Go ahead…
David Sasnett: We included its expenses in the results for our retail segment because that’s the area of the business primarily that it supports.
Philippe Auclaire: Okay. So, on page 72, where it shows that 50% of the revenue for 2020 came from U.S. operations…
David Sasnett: Okay. So, the U.S. operations...
Philippe Auclaire: 27 plants in the United States versus 11 in the islands. How does that...
David Sasnett: Let me clarify. Okay. So, what we have in the islands are desalination plants. We have plants on Grand Cayman Island and we have plants in the Bahamas, and they produce sea water -- they produce drinking water from seawater. What we have in the United States are manufacturing operations with Aerex, which is in Fort Pierce, Florida, and the operations of PERC, which is water and wastewater treatment, which is headquartered in California. The 27 plants that were referred to in the 2020 annual report are plants that PERC operates under operations and maintenance contracts. So, they’re not desalination plants. And if you would like to -- I mean, we’re sort of getting into a lot of detail here. You’re more than welcome to call me back. Me personally, David Sasnett, and I’ll walk you through all of these peculiarities or things that might not be totally clear in my annual report.
Philippe Auclaire: What does it mean by 2 times the capacity on page 26, that the U.S. plants have 2 times the capacity of the Cayman Water Company?
David Sasnett: Well, what that means is they’re capable of treating in total volume, twice as much wastewater as our plants in the Caribbean can produce in fresh water from seawater. That’s all that means. Two different types of operations though.
Philippe Auclaire: And also, well, I’ll cut this short now and just go right to the -- is the customer base proprietary in the United States? I mean, I know you talk about who your customers are for the Cayman Water Company, but you don’t talk about who your customers are in the United States. Is that proprietary information?
Rick McTaggart: No. And we don’t do that just for competitive purposes, but most of the customers or public entities. So, if you sort of scroll through public information on municipalities and public entities in the southwest, you’d see where contracts have been awarded to PERC Water, so.
Philippe Auclaire: Okay. So, PERC overall, if these 27 plants are attributable to PERC, then -- and it’s contributing 50% of your revenue, then that’s a big part of your business?
David Sasnett: Well, PERC doesn’t contribute 50% of our revenue, PERC and Aerex. So, PERC and Aerex -- not Aquilex, Aerex. Aerex is our manufacturing facility in Fort Pierce.
Unidentified Analyst: Well, maybe it’s misprint on your report…
David Sasnett: No, it’s correct. The report is correct. If you take the revenues of PERC and you take the revenues of Aerex, you’ll get 50% of our total revenues.
Philippe Auclaire: Right. I’m talking about page 72. Revenue by major geographical region, United States, $24,918,527. That’s just under 50% of your total revenue?
Rick McTaggart: Is it Mr. Auclaire, was that your name?
Philippe Auclaire: Yes.
Rick McTaggart: I mean, we’d be happy to talk to you offline here just about these details and if you need further explanation. Maybe we could just move on to if there’s another...
Philippe Auclaire: All right. No, that’s fine. Good enough. I think I understand that some of this stuff is proprietary, et cetera. So...
David Sasnett: You could send me an email, dsasnett@cwc.com, with your contact information. I’ll call you back. And I’ll walk you through these numbers in detail if you like that.
Philippe Auclaire: Yes. And you are?
David Sasnett: I’m the Chief Financial Officer.
Unidentified Analyst: CFO. Okay, great.
Operator: [Operator Instructions] The next question is from John Bair of Ascend Wealth Advisors. Please go ahead.
John Bair: Good morning. This last segment has been pretty -- not very clear. So, I’m not sure if I’m -- can you hear me clearly or...
Rick McTaggart: Yes, we can hear you, John. Yes.
John Bair: Okay. All right. The last two questions that came in, I don’t know whether it’s my end or not. But, so a good portion of one of my questions that Gerry had asked about the Bahamian backlog has been answered. I guess, I was going to ask if you would expect that if they start opening up more for tourism and general economic activity picks up that you would anticipate a ramp-up in payback. Would that be a fair question, fair observation?
Rick McTaggart: Yes. I mean, I think that’s what we would expect. I mean they’re open to tourism now. It’s just that there’s not a lot of people traveling there still. I believe a couple of their major hotels reopened sort of the end of last year. But, it’s just -- it’s a matter of time, John. I mean, as people become more comfortable traveling, the more vaccinated people there -- Florida has already opened up as no masks and all that sort of stuff for vaccinated people. And I think it’s just going to be a little bit more time before things pick up in the Bahamas. I mean, they’re almost totally dependent on tourism from the U.S. So...
John Bair: And probably more so over the winter months as well.
Rick McTaggart: Absolutely.
John Bair: So, I don’t know whenever there is gambling...
Rick McTaggart: Yes. They have casinos and attractions like that. So, I think they’re pretty busy year-round.
John Bair: Yes. Okay. And my other question is really kind of more of a general one. Given that so much of your operations are in geographic areas that are very conducive to utilization of solar power and so forth. I was just wondering whether or not you’ve looked into trying to expand or use that in your operations particularly in the Bahamas, where you have an energy component in your contracts, or is that something that could be negotiable or something that you could utilize that might be beneficial to the Company in a larger sense, broad scale?
Rick McTaggart: Yes. I think, from the standpoint of where these islands are, they get a lot of sun. But land is really at a premium on these islands. And there are -- we don’t have the land to do something like a solar array. I mean, we’re either leasing land for a plant or we have a license to use somebody else’s land, the government’s land to operate the plant on. So, we don’t have land holdings. And the -- typically, the electrical utilities are monopolies and they’re tightly regulated, certainly in the Cayman Islands and in the Bahamas. And those utilities are implementing renewable energy as they sort of find it feasible, but it’s not really large scale there because of the -- there’s just not a lot of land to put these things on, so.
John Bair: Yes. And that’s an issue that’s increasingly becoming controversial even within the Continental U.S. We read a lot of areas, communities that are kind of pushing back on that kind of thing. So, is the power generated there, is it fuel oil or is it natural gas, combination thereof?
Rick McTaggart: It’s almost 100% diesel fuel. Yes.
John Bair: So, there’s an incentive for the governments to perhaps change that if they can or transition that. Okay. All right. That’s all I’ve got for right now. Thanks very much.
Operator: This concludes our question-and-answer session. I’d like to now turn the conference back to Mr. McTaggart for closing remarks. Please go ahead.
Rick McTaggart: Thanks, Kate. I’d just like to thank everybody for joining us today. We had some good questions. And I look forward to speaking with you in August, when we release our second quarter results. Everybody, stay safe and take care. Bye, bye.
Operator: Thank you. Ladies and gentlemen, before we conclude today’s call, I would like to provide the Company’s safe harbor statement that includes cautions regarding forward-looking statements made during today’s call. The information that we have provided in this conference call includes forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including, but not limited to statements regarding the Company’s future revenue, future plans, objectives, expectations and events, assumptions and estimates. Forward-looking statements can be identified by the use of words or phrases usually containing the words believe, estimate, project, intend, expect, should, will or similar expressions. Statements that are not historical facts are based on the Company’s current expectations, beliefs, assumptions, estimates, forecasts and projections for its business and the industry and markets related to its business. Any forward-looking statements made during this conference call are not guarantees of future performance and involve certain risks, uncertainties and assumptions, which are difficult to predict. Actual outcomes and results may differ materially from what is expressed in such forward-looking statements. Factors that would cause or contribute to such differences include, but are not limited to, continued acceptance of the Company’s products and services in the marketplace, changes in its relationships with the governments of the jurisdictions in which it operates; the outcome of its negotiations with the Cayman government regarding a new retail license agreement; the collection of its delinquent accounts receivable in the Bahamas; the possible adverse impact of COVID-19 virus on the Company’s business; and various other risks as detailed in the Company’s periodic report filings with the Securities and Exchange Commission. For more information about risks and uncertainties associated with the Company’s business, please refer to the management’s discussion and analysis of financial conditions or Results of Operations and Risk Factors sections of the Company’s SEC filings, including, but not limited to, its annual report on the Form 10-K and quarterly reports for Form 10-Q. Any forward-looking statements made during the conference call speak as of today’s date. The Company expressly disclaims any obligations or undertaking to update or revise any forward-looking statements made during the conference call to reflect any changes in its expectations with regard thereto or any changes in its events, conditions or circumstances of which any forward-looking statement is based, except as where it may be required by law. Before we end today’s conference call, I would like to now remind everyone that this call will be available for replay starting later this evening. Please refer to yesterday’s earnings release for dial-in replay instructions available via the Company’s website at www.cwco.com. Thank you for attending today’s presentation. This concludes the conference call. You may now disconnect.